Unknown Executive: Ladies and gentlemen, it is now time to start Sony Group Corporation's Fiscal 2021 First Quarter Earnings Announcement. And my name is [ Okada ], in charge of Corporate Communications. I shall be serving as the emcee today.
 Now this session is being held for journalists, analysts and institutional investors to whom we have sent out invitations in advance. And this is being live webcast through our Investor Relations website today. First, we have Hiroki Totoki, the Executive Deputy President and CFO, to present to you the fiscal 2021 consolidated results and also the consolidated results forecast for fiscal 2021. And then we'll have a Q&A session. The duration is about 70 minutes.
 Mr. Totoki, please. 
Hiroki Totoki: Thank you very much. And I would like to talk about these 2 topics today. We have changed our accounting standards to IFRS from the current fiscal year. So the results for the current quarter or forecast for the current fiscal year and the results for the previous fiscal year, which I will explain today, are all based on IFRS.
 Fiscal '21 first quarter consolidated sales increased 15% compared to the same quarter of the previous fiscal year to JPY 2,256.8 billion and consolidated operating income increased a significant JPY 58.3 billion year-on-year to JPY 280.1 billion, both record highs for the first quarter.
 Income before income taxes increased JPY 14.6 billion year-on-year to JPY 283.2 billion and net income attributable to Sony Group Corporations's shareholders increased JPY 18.2 billion to JPY 211.8 billion. This slide shows the result by segment for fiscal '21 first quarter.
 Next I will show the consolidated results forecast for fiscal '21. Our consolidated sales forecast remains unchanged from the previous forecast. Our operating income forecast has increased JPY 50 billion from our previous forecast to JPY 980 billion, primarily reflecting the results of fiscal '21 first quarter. 
 We have also upwardly revised our forecast for income before income taxes to JPY 955 billion, and our forecast for net income attributable to Sony Group Corporation's shareholders to JPY 700 billion. Our forecast for consolidated operating cash flow, excluding the Financial Services segment, has decreased JPY 20 billion from the previous forecast to JPY 890 billion. Although forecasted operating cash flow will benefit from the upward revision in the forecast for profit, we project an increase in acquisition of content assets such as music catalogs, which are included in operating cash flow under IFRS. This slide shows our forecast by segment for fiscal '21.
 I will now explain the situation in each of our business segments. First is the Game & Network Services segment. Fiscal '21 first quarter sales increased 2% year-on-year to JPY 615.8 billion, primarily due to an increase in hardware sales resulting from the launch of PlayStation 5 and impact of foreign exchange rates, partially offset by lower software sales. Operating income decreased a significant JPY 40.6 billion year-on-year to JPY 83.3 billion, primarily due to the impact of the decrease in software sales, a deterioration in hardware profit and an increase in selling, general and administrative expenses.
 Our fiscal '21 forecast remaining -- remains unchanged from the previous forecast. And there is no change to this fiscal year's target of selling more than 14.8 million units of PlayStation 5, which was the number of units we sold of PlayStation 4 in the fiscal year after its launch. 
 Fiscal '21 first quarter software and network services revenue decreased 15% compared to the same quarter of the previous fiscal year when stay-at-home demand was high around the world, primarily due to a decrease in software add-on revenue from third-party titles. Nevertheless, Software sales increased 38% compared to the same quarter of the fiscal year ended March 31, 2020, that is fiscal 2019, which was before the COVID-19 pandemic, and we believe that the game market has expanded significantly over the last 2 years.
 Similarly, total game play time of PlayStation users in fiscal '21 first quarter decreased 32% year-on-year, but increased 18% compared to the same quarter of fiscal 2019, showing continued steady growth.
 Sales of first-party software decreased compared to the same quarter of the previous fiscal year when the Last Of Us Part II was a big hit. But sales of all the titles we have released during the quarter, including Ratchet & Clank: Rift Apart and MLB The Show 21 exceeded our expectations. Thanks in part to strong add-on sales, MLB The Show 21 contributed significantly to sales and profit during the quarter. We have begun to release our first-party titles on platforms other than PlayStation and MLB The Show 21 was one such title, which followed upon the initial success we had with the PC versions of Horizon Zero Dawn and Days Gone.
 PlayStation Studios, which oversees our first-party software production on a global basis, is accelerating investments to strengthen its production capabilities. In June, we announced the acquisition of Housemarque, which is the 13th studio under PlayStation Studios. Housemarque is a Finnish studio from Finland that has been successful for more than 20 years due to its superb technological capability and creativity. And it has received extremely high praise for Returnal, which developed and released exclusively on PS5 in fiscal '21 first quarter. Seven of our 13 studios have been acquired and have produced numerous hits and compelling IP, such as the Last Of Us series, the Horizon series and Ghost of Tsushima.
 In July, we announced the acquisition of Nixxes, a Dutch software development company that has excellent technology for porting game software between different platforms such as PCs. We expect that Nixxes will offer technological support to all our studios in a horizontal manner. Going forward, we intend to continue to proactively make strategic investments with the aim of developing new IP, supporting our multi-platform strategy and strengthening our service offerings, including through add-on content.  
 Next is Music segment. Fiscal '21 Q1 sales increased a significant 44% year-on-year to JPY 254.9 billion as sales increased in all categories, driven primarily by growth in streaming.
 Sales of products related to Demon Slayer - Kimetsu No Yaiba - The Movie: Mugen Train were the primary driver of the increase in sales of Visual Media and Platform, primarily due to the benefit of the increase in sales. Operating income increased significantly to JPY 55.4 billion, JPY 19.7 billion higher than the same quarter of the previous fiscal year in which a JPY 7.2 billion onetime gain was recorded for the transfer of an equity stake in a third party.
 Fiscal '21 sales are expected to increase JPY 50 billion compared to our previous forecast to JPY 1.040 trillion, and fiscal '21 operating income is expected to increase JPY 28 billion compared to our previous forecast to JPY 190 billion. The previous fiscal year's operating income included onetime gains of JPY 13.2 billion, mainly from the transfer of equity stakes and the historic blockbuster hit Demon Slayer. Nevertheless, we expect operating income this fiscal year to exceed that of last fiscal year because of the strong current momentum.
 Streaming revenue, which is the largest growth driver in this business grew considerably due to strong paid streaming and the recovery in advertising-supported streaming, which was negatively impacted by the COVID-19 pandemic. During the quarter, streaming revenue increased significantly 53% year-on-year in Recorded Music and 70% year-on-year in Music Publishing.
 We are steadily improving our ability to generate hits by discovering and nurturing new artists. In this quarter as well, we had an average of 36 songs in Spotify's global top 100 songs ranking, and debut songs from our new artists are increasing in this hit ranking.
 In the area of strategic investment, we completed the acquisition of the DIY Artist Service business, AWAL, in May. This acquisition will strategically complement The Orchard in the growing indie market, enabling us to provide service to artists in various stages of their careers. 
 In June, we announced the acquisition of Somethin' Else, a major British podcast production company and Alamo Records, a music label focused on hip hop in the U.S. 
 And in July, we announced an alliance with the rapidly growing online game platform, Roblox. The alliance provides our artists the opportunity to connect with the Roblox community through virtual events and other means, and it creates revenue-generating opportunities that go beyond music. Through proactive strategic investments and partnerships such as these, we aim to further grow our business and generate higher profitability than our competitors.
 Next is the Pictures segment. FY '21 Q1 sales increased 17% year-on-year to JPY 204.7 billion, mainly due to an increase in sales of Media Networks and Motion Pictures, partially offset by a decrease in sales of television productions. Operating income decreased JPY 1.7 billion year-on-year to JPY 25.4 billion, mainly due to the decrease in sales and increase in production cost and television productions. 
 Fiscal '21 sales are expected to decrease JPY 20 billion compared to our previous forecast to JPY 1.120 trillion, primarily due to later than originally anticipated theatrical release of Motion Pictures product and deliveries of TV programming product. Fiscal '21 operating income is expected to increase JPY 7 billion compared to our previous forecast to JPY 90 billion, mainly due to an increase in licensing revenue, partially offset by the impact of the decrease in sales.
 In Motion Pictures, while U.S. box office revenue has recovered to about 40% to 50% of what it was prior to COVID-19, it remains uncertain when the situation will return to normal due to a resurgence of COVID-19. Given these circumstances, we are taking a flexible approach to our release strategy for films that are ready to be introduced to the market so as to maximize long-term value of those works.
 For example, while we decided to further postpone the theatrical release of major films like Venom and Hotel Transylvania: Transformania, we decided to license to video streaming services the films Cinderella and Vivo, which were originally scheduled for theatrical release. Meanwhile, demand for content from video streaming services remains strong, and the increase in licensing revenue from new releases and catalog product has exceeded the decrease in revenue caused by the lack of major theatrical releases in the previous fiscal year.
 In Media Networks, our video direct-to-consumer services are increasing their customer base significantly with paid subscribers since June 2020, increasing approximately 80% at our anime DTC service animation and approximately 700% at SonyLIV, our video DTC service in India. Pure Flix, which we acquired last fiscal year, has also increased its paying subscribers quickly, reaching a number today that we thought at the time of acquisition, it would take another year to achieve.
 Next is the Electronics Products & Solutions segment. Mainly due to an increase in unit sales of televisions and digital cameras as well as the impact of foreign exchange rates, sales for the quarter increased significantly to JPY 576.3 billion, a 59% increase compared to the same quarter of the previous fiscal year, which was severely and negatively impacted by COVID-19.
 Operating income increased a significant JPY 80.6 billion to JPY 71.8 billion year-on-year, primarily due to the benefit of the increase in sales and an improvement in the product mix. Fiscal '21 sales expected to increase JPY 60 billion compared to the previous forecast to JPY 2.320 trillion, and operating income is expected to increase JPY 22 billion to JPY 170 billion to reflect the results of fiscal '21 first quarter.
 In the TV business, the market were high-end value-added live screen products, which is our forecast remains strong. But we are beginning to see a decline in the stay-at-home demand focus -- the stay-at-home demand that has continued since last fiscal year in the market for low-priced small and medium-sized products. While the supply of TV panels is tight, we have maintained price and shifted our focus to higher value-added models, resulting in average selling price rising a significant 38% year-on-year.
 In the digital camera business, which suffered a significant contraction in demand around the world due to COVID-19, sales were strong in -- meaning all reasons due to recover in demand and a shift to -- shift in the market to high performance and high-spec products as well as a strong product competitiveness. 
 At the same time, the recent resurgence of COVID-19 in Southeast Asia has caused governments to place restrictions on personal and corporate activity, and we have had to reduce our operations at our factories in Malaysia from the end of May. There's a risk that our parts of a component supply chain could also be negatively impacted. Fiscal year '21 forecast incorporated -- incorporates this emerging supply side risk as well as demand side risk such as lower stay-at-home demand from the second half of the fiscal year.
 Next is the Imaging & Sensing Solutions. Fiscal '21 first quarter sales increased 6% year-on-year to JPY 218.1 billion and operating income increased JPY 4.3 billion year-on-year to JPY 30.5 billion. Fiscal year '21 sales are expected to decrease JPY 30 billion compared to our previous forecast to JPY 1.100 trillion, but our operating income forecast remains unchanged from the previous forecast.
 In the mobile sensor business, shipments to Chinese manufacturers have slowed since May, primarily due to the stagnation of the Chinese smartphone market and inventory adjustments. However, since we have incorporated this level of demand to some extent into our forecast, we recorded sales and profit for the quarter that was essentially in line with our expectations. We were able to offset year-on-year decrease in shipments to a certain Chinese customer and generate overall segment sales and profit that exceeded the same quarter of the previous fiscal year because of a steady increase in shipments to a major non-Chinese customer and the recovering demand for image sensors for additional cameras.
 Regarding the efforts we have made to expand our customer base, adoptions of our image sensors by Chinese smartphone manufacturers is progressing smoothly, and we have made strides in recovering our market share on a volume basis so far this fiscal year. In addition, we have gotten off to a good start when it comes to getting a high value-added image sensors design into our flagship models that many smartphone manufacturers plan to launch in the fiscal -- in the first half of 2022. 
 On the other hand, we are concerned about the high-end smartphone market in China, which is lacking momentum because they are no big hit products like those that have been sold in 2019 and 2020 by the Chinese manufacturer, as previously mentioned. Since the situation could have an impact on the speed of which our mobile sensor business profitability is expected to recover from the next fiscal year, we are monitoring the situation as well as the recovery of the Chinese smartphone market in the short term.
 Last is the Financial Services segment. Fiscal '21 first quarter Financial Services revenue decreased 6% year-on-year to JPY 414.4 billion, primarily due to a decrease in net gains on investments in a separate account at Sony Life Insurance Company Limited. Operating income decreased JPY 12 billion year-on-year to JPY 24 billion, mainly due to the impact of a onetime loss recorded at a consolidated subsidiary of Sony Life. 
 As was announced today by Sony Life, in May of this year, we discovered an unauthorized withdraw of approximately JPY 70 billion out of the bank account in the name of SA Reinsurance Limited, an overseas consolidated subsidiary of Sony Life. As a result, we recorded a loss equal to the amount of the withdrawal in first quarter. After making this discovery, Sony Life immediately took action, including reporting the matter to the relevant authorities and is continue to work with authorities investigating the matter to recover the funds and gain full accounting of what occurred. We sincerely apologize for causing concern, but this matter has no impact on the insurance contracts that the customers of Sony Life have entered into.
 Our fiscal year '21 forecast for Financial Services revenue remains unchanged from the previous forecast. Operating income is expected to decrease JPY 17 billion compared to the previous forecast of JPY 153 billion. At the IR Day held in May, we explained our strategy to maximize the value of the Financial Services business, the strength in group management to sustainably grow the business in a profitable way. To demonstrate a progress in line with the strategy from this earnings announcement, we have decided to disclose 2 important indicators for assessing the covered value of Sony Life: Market Consistent Embedded Value, MCEV; and new policy value in our supplemental information document every quarter.
 We also increased the dividend that the Financial Services business paid at the end of the previous fiscal year by JPY 20 per share to JPY 90 per share. The business is expected to make additional contributions to the Sony Group's through stable dividend increases. This concludes my remarks. Thank you. 
Unknown Executive: That was Hiroki Totoki, Executive Deputy President and CFO. Now at 4:25 p.m. Japan time, there will be a session with the media people. And then there will be a question-and-answer session with the investors and analysts at 4:50 p.m. And the duration of the Q&A session will be 20 minutes each. So if you have signed up in advance, please call into the number that has been designated in advance. And if you have not signed up in advance, you'll be able to listen to the Q&A session over the webcast. So please wait until we start the Q&A session. Thank you. 
 Ladies and gentlemen, we'll be starting our Q&A session with the media people. So please wait for a short while before we start. 
 Ladies and gentlemen, thank you for waiting. We'd like to now start Q&A session with the journalists. The responses will be made by Executive Deputy President and CFO, Hiroki Totoki; and Senior Executive Vice President in charge of Communications, Shiro Kambe; and Senior Vice President in charge of Corporate Planning, Control, Finance and IR, Naomi Matsuoka. [Operator Instructions] 
 Now I'd like to start the Q&A session. 
Unknown Executive: [Operator Instructions] [ Mr. Inomata ] from NHK is the first person to ask a question. [ Mr. Inomata ]? 
Unknown Attendee: I hope you can hear me. I am [ Inomata ] from NHK. I have 2 questions regarding the shortage of semiconductors. So PlayStation 5 and Electronics is doing favorable. So currently, what is the impact of the shortage of semiconductors? And what do you expect going forward?
 And the second question, once again, about the shortage of semiconductors. Taiwan TSMC may be building a factory in Japan, and I do hear about the partnership with Sony. So is there anything that you can comment on about this TSMC issue? 
Hiroki Totoki: Thank you for the question. Number one question was regarding the impact on the shortage of semiconductors. And number two was the media reports about TSMC and our potential partnership with them when they build a factory in Japan. So for those 2 questions, I would like to respond. 
 The shortage of semiconductors have impacts in various areas. And through various measures, we have been taking some actions. For PS5 this year, the number of units to be sold today -- this year has been set. The target has been set. And we have secured a number of chips that's necessary to achieve that. And regarding the supply of the semiconductors, we're not concerned.
 And also for Consumer Electronics segment, we do use a lot of semiconductors in various areas. So some availability of parts and components is a source of concern. But we do have access to second sources. And for parts and components, we have some strategic inventory as well. So we have been taking various measures so that the production and sales will not be impeded. So for now, the time being, we have been able to control the situation. But going forward, we cannot remain complacent. So we would like to have access to good information so that we will be able to smoothly continue to produce and sell our products.
 Regarding the media reports that you have mentioned, we have not sent out that information. So as of now, there's nothing that we can say about this. But as was mentioned by Mr. Yoshida, the CEO, in the past, in general, the logic chips supply is something that is very critical if you look at the Japanese industry as a whole. In order to maintain international competitiveness, the logic chips are very critical. That is the end of my response. Thank you. 
Unknown Executive: From Nikkei Newspaper, [ Ban-san ], please. 
Unknown Attendee: [ Ban-san ] [indiscernible] from Nikkei Newspaper.  Are you there? Hello? 
Hiroki Totoki: Yes, we hear you. Please go ahead. [ Mr. Ban ], are you still there? Do you hear us? 
Unknown Executive: [ Mr. Ban ], I'm sorry. Since the line has been disrupted and disconnected, we would like to proceed to the next person.
 From Financial Times, [ Inagaki-san ], please. 
Unknown Attendee: Do you hear me? 
Hiroki Totoki: Yes, we hear you. 
Unknown Attendee: From Financial Times, my name is [ Inagaki ]. I would like to ask you about your camera business. This is not directly related to the financial results, sorry. From Tokyo Olympics and Paralympics games, mirrorless cameras of Sony is being used more widely. From consumer market to the professional mirrorless market, what is your evaluation on this? 
Hiroki Totoki: Thank you very much for your question about the camera business. I'm very sorry, because of the sponsorship matter, we are not allowed to speak on anything related to the ongoing sports event. For camera business, about the camera business itself from last year, because of the pandemic, people are staying home and lacking shooting opportunities. So last fiscal year, the situation was very difficult for cameras. However, it seems that the situation is improving. From this fiscal year, this business is going smoothly. And going forward, this trend is expected to continue. As a general rule, Alpha -- professional Alpha, Dutch market share, is increasing and improving. Thank you very much. 
Unknown Executive: Thank you. We'd like to take on the next question. [ Mr. Nishida ], a freelance reporter. 
Unknown Attendee: I hope I'm being heard clearly. 
Hiroki Totoki: Yes. 
Unknown Attendee: I have 2 questions, please. The first question is about the game business. You stated that there has been some deterioration of the profitability of the hardware. Are you saying that hardware contribution of profitability is yet to happen or rather that is a question of balance between the software and the hardware. Can you elaborate a little more? 
 The second is on electronics camera. You've stated this in brief. Things are doing very well. It's a good business. For the camera electronics, do you think that you have reached a point where camera or electronics can continue to contribute to your earnings? Or do you think that it will take a little more time before it can be a true contributor to your earnings? 
Hiroki Totoki: Thank you. The first question is about the game business, the deterioration of profitability of the hardware. What did I mean by that statement? And the second is about the camera business or overall electronics business future earnings contribution. I think you're asking about the trend or the probability of how electronics business will contribute. I would like to accommodate or cover those 2 questions. 
 Hardware, this is in comparison with the PS4. So the PS5 profitability in April, we have put together a focus for this period and the assumption of forecast remain unchanged. Things are progressing as we have planned and is going on very smoothly. The overall electronics business, we have improved to structure the [ fabric ], and we have entered into many structure reform.
 Through such efforts, I think we are more robust and rigid in terms of management. Of course, it is subject to the demand changes, and we have to take more action measures to withstand those changes. But personally, I believe that they can continue to contribute to our earnings. They have improved their business so that they are a genuine contributor to our business. Thank you. 
Unknown Executive: [ Masuda-san ] from Nikkei, please. 
Unknown Attendee: [ Masuda ] from Nikkei here. I hope you can hear me. 
Hiroki Totoki: Yes, I can hear you. 
Unknown Attendee: I have first question related to an earlier question. So this year, the stay-at-home demand for gaming has come down, but electronics and also music is favorable. So you have upwardly revised the projections. So in various segments, some people are saying that they should be sold off, but you are now having a structure that is very resilient to changes. So how do you assess your transformation efforts?
 Question number two, PS5 or gaming business. So currently, the number of units to be sold and also the number of active users on a monthly basis. I think on a quarterly basis, it's coming down slightly, it seems. So you're looking for long-term growth, but currently you are seeing some declines. So how do you assess the situation? 
Hiroki Totoki: Thank you for the question. You had 2 questions. The first one was we have diversity of businesses and are we resilient, how was the result of the transformation or restructuring of our company. Number two is related to game business. So the monthly active users on a quarterly basis seems to be coming down as a trend. So how do you -- how do we assess the long-term growth? 
 So regarding your first question, well, the restructuring had taken place. But in addition to that, we have a lot of different game titles or games. And I think each of the businesses have been able to transform the structure and the strength of their businesses. And I think that has been a major achievement. So the level of corporate management capabilities have been increased. So there were some very positive momentum. There were some negative aspects as well, but each business has been able to respond to the situations. And now we are able to now devise a strategy to seek long-term growth. 
 Regarding the game business, yes, it's true. If you look at it on a quarterly basis, well, fiscal 2020 first quarter, there was biggest impact on the stay-at-home demand. So if you compare that, yes, it does seem like there is a decline on a significant basis. But if you compare it with fiscal 2019, as I mentioned in my speech, there is an increase over the 2 years ago. So I think on the long term, there is a growing trend, and I think the growth is here to stay. So for us, we are going to provide better services and better experiences to our users so that we will be able to capture the opportunity to further grow this market. Thank you. 
Unknown Executive: Since time is running out, the next question will be the last one. From Bloomberg, Furukawa-san, please. 
Yuri Furukawa: Furukawa from Bloomberg. Can you hear me? 
Hiroki Totoki: Yes, we can hear you. 
Yuri Furukawa: About semiconductor, I have a question. In July, close to the Kumamoto factory, you applied for acquisition of the land or plot. For the CMOS sensor, JPY 285 billion was -- when it was decided to invest in CMOS with that amount, have you already have that in plan? Is it -- is this plot going to be the CMOS factory? Or is it a joint venture with TSMC? That's the first question. 
 Second question about game business. In May, about the profitability of PS5, there was this view that the breakeven point will be reached in June. Is it in the positive range from July onwards? Or is it still in the negative range? 
Hiroki Totoki: Thank you very much for your questions. About the I&SS first, but the land acquisition in Kumamoto. Is it -- was it included in this fiscal year's CapEx plan? 
 The plot acquisition is not a short-term matter. It is a long-term investment. So to a certain extent, always, it's included in the investment plan. In that sense, it was included. I can safely say that. Now this is the plot assessment to Kumamoto TEC. We applied for the acquisition of the plot, but for more details, let me refrain from making any further comments. 
 But the profitability of PS5 in -- there was this view of reaching breakeven point in June, but PS5 breakeven point for standard edition, more correctly on standard edition, that's how we explain the situation. And it's been progressing according to the plan. Overall, hardware profitability and peripherals hardware profitability, including peripherals, as we have been saying, is proceeding smoothly. Thank you very much. 
Unknown Executive: Thank you. I'm afraid the time has come for us to close this session for the media members. The analyst session will begin from 15 minutes past the hour since there will be some change of the members who will be responding to the questions.
 [Break] 
Sadahiko Hayakawa: We are about to begin of the session for investors and analysts. We seek for your further patience. Indulge us. The session will start shortly. 
 Ladies and gentlemen, we would like to begin the session for analysts and investors. I am Hayakawa, in charge of IR. From Sony, Mr. Totoki -- Hiroki Totoki, the CFO; and Ms. Naomi Matsuoka, the Senior Vice President in charge of Corporate Planning and Control Finance and IR; and Mr. Hirotoshi Korenaga, the Senior Vice President in charge of Accounting, will be answering to your questions. 
 [Operator Instructions] From JPMorgan, Mr. Ayada. Ayada from JPMorgan. 
Junya Ayada: I have 2 questions. The first question is EP&S assessment evaluation for the first quarter. I may be repeating myself, TV and the camera, the average selling price must have gone up. The factors that contributed to the rise is an improvement of the product mix. The substantive improvement. And also, it may be affected by supply and demand situation in the market. Can you elaborate on those factors? You can make just a qualitative statement rather than quantitative statement. And also the inventory in the distribution in the market. Bearing that in mind, what are the potential or the probability of the prices going up in the second quarter? 
 The second question is on I&SS. And I am asking this question many times. The capacity of the first quarter and the number of wafers for the first quarter and your prospects for the second quarter, the wafer. And also second quarter and beyond, what are your projections on the unit price of wafer? Will there be any meaningful changes? 
Hiroki Totoki: Thank you very much for your questions. Your first question is about the assessment evaluation of EP&S. And the second question had to do with I&SS. I would like to respond to those questions. ASP is indeed going up. Is it attributable to the betterment of the product mix or to the supply and demand situation? It's difficult to really break down into those factors. That can only make some sort of qualitative statement. 
 For TV, both factors were at play. Product strategy, like screens, TVs were promoted, high end. We are intentionally shifting to that end of the product. So the beginning of the first quarter, the market itself -- the market for 32 inches and smaller are coming down. There is a downward trend. So in that context, I think our product mix plan proved to be right, and I think we are right in prospecting the supply and demand. 
 And camera, I think we have a good product mix, too. Unlike last year, when there was a COVID-19 impact, each country has progressed in vaccination and the market, particularly the mirrorless, full-size mirrorless camera market is recovering. So there is a tailwind that we enjoyed. The market inventory or distribution inventory, at this point of time, be it camera or TV, there are no particular concerns. The level does not warrant us or require us to be concerned. But towards the end of this fiscal year, the second half, I think the panel price would become softer. How are we going to handle that situation will hold the key.
 I&SS was another question. On the qualitative aspect, the first quarter -- at the end of first quarter, the master process, it was 130,000 per month. That was our capacity. There has been changes in the mobile mix. So there has been a decline from 141,000, the earlier projection. At the end of second half, expectation is that the figure will be 138,000 per month. In the first quarter actuals, the simple average for 3 months was 137,000. Last year, the fourth quarter, at the end of the fourth quarter, the average input was 138,000. So again, it's working at the fullest and it is as we have assumed or planned.
 Fiscal '21, we are shipping for new models. So we are accelerating or increasing the capacity utilization. And the first quarter this fiscal year for the 3-year -- 3-month average, it will be 138,000, again, as we have projected. So that's more of a quantitative aspect. Compared to the previous fiscal year, there has been a decline of 10%. A certain Chinese customer is affecting this trend. 
Sadahiko Hayakawa: Moving on to the next question. Nakane-san from Mizuho Securities, please. 
Yasuo Nakane: Nakane speaking. I'm from Mizuho Securities. So two questions. Number one, the operating income have been revised. So there's one -- so Music and Pictures and EP&S, those are the factors for the revision. So very roughly, so there were upsides in the first quarter -- and also, what are -- for electronics, there are some destabilizing factors in some areas. So there are some negative factors that could have impacted the upward revision. So in the 3 categories, can you share with us your thoughts about how they were factored in? 
 My second question, it's in the semi macro view of Totoki-san. So in the North American market and China, how about the demand environment until the end of this year? How do you view or how do you think this demand with electronics, sensors and games and music? I think the situation will vary. So you don't have to talk about all the segments, but please talk about the macro environment that you anticipate towards the end of this year. Those are my 2 questions. 
Hiroki Totoki: Thank you for the question. So first question, the revision of the operating income that we have made. So how much is it coming from the first quarter and how much is it coming from the rest of the year? And your second question is related to a very broad question actually. But in North America and China, how do I assess the demand situation? I guess you're looking at the overall economic situation of these 2 markets. 
 So regarding the revision of the operating income, excluding the Financial Services, if I may talk about some other segments. Well, basically, generally speaking, in the first quarter, especially for EP&S, the first quarter actuals were very strong. The performance was very strong. So that really pushed up the expectations. So if you factor it down beyond the second half, maybe you would think that it's not going to grow that much. But beyond the second half, the demand of TV, we don't know what is going to happen, and also the infection or the resurgence of COVID-19, that could have some impact on production, sales and supply chain. And we don't really know what is going to happen. It's hard to anticipate. So we have factored in those risks in making our projections.
 And for Music, first quarter, it was very strong. The streaming services was very favorable and it's growing very well. And in the past, we had the advertising support and streaming was very difficult because of COVID-19. Subscription was good, but not ad-supported ones. But the ad market is now recovering. So the projection for ad-supported streaming was also included in a reasonable way. 
 Now for Pictures, we have made a revision based on our projections throughout the year based on what we know now. I think that would be fair thing to say. 
 Now regarding the North American market and the Chinese market and what would be the demand situation until the end of the year, that is actually a very tough question. So if you look at the current situation, it's very favorable, and I do wish that this favorable condition will continue. But on the other hand, there is a resurgence of COVID-19, and we have to try to address the impact of that. The theatrical releases of films hopefully will be recovered. That's what we saw 2 months ago. But now, we believe that a full theatrical release is going to be really difficult. So for theatrical releases of pictures, pictures for families or children, I would say, I don't think we will be able to do very well because people will be reluctant to take their kids to theaters. So they are such concerns in North America.
 Now in China, in terms of COVID-19 impact, on a relative basis, it is less concerning. That is my view. But more recently in China, there are some restrictions that have stepped up for major Chinese companies, and that is a trend that is ongoing. So you cannot assess things from the economic or purely economic standpoint. So you have to really look at these other developments or trends when you look at the Chinese market. Thank you. 
Sadahiko Hayakawa: From SMBC Nikko Securities, Katsura-san, please. 
Ryosuke Katsura: Can you hear me? 
Hiroki Totoki: Yes, we can hear you. 
Ryosuke Katsura: Two questions from me. One, well, this is related somewhat to the previous question. The regulation of the Chinese platform is what's the impact of such regulations, restrictions on the mobile games, maybe the direct segment or certain platforms is affected. So for entertainment segment or entertainment business, what kind of impact would that regulation in China have on the entertainment business of Sony? That's first question. 
 Second, operating income. There was an upward revision by JPY 50 billion by segment. And you explained about the situation in Q1 and onwards. However, the sales remains unchanged and the FX, you are reevaluating when yen to be weaker. There is so much uncertainties to -- well, I think it was -- in the case of Toyota, to hold the target unchanged and the operating income of Sony was upwardly revised. What are the reasons? What are the major points to do so? 
Hiroki Totoki: Thank you for your questions. First question about the regulations on the Chinese platforms and what kind of impact would that have to our entertainment business. Your second question, under uncertain circumstances, we upwardly revised the operating income forecast. So what are the background? 
 So -- but the first question about the regulation, at this moment, China as a market. When we look at the China market, it is not that we depend heavily on that market. It's an overall picture. In terms of the percentage of sales, it's limited. That's what I can say about that. However, these kind of regulations has been implemented cyclically so far. For example, censorship issue in China and about the film's release in China have been restricted in the past. So for us, we need to come to grips with the facts and at an earliest stage take actions other than that. We don't have other options. More than ever, we try to be more sensitive about the situation in China in our response. 
 Now about the equity participation or investment, we did make investments with the -- they are not the level at which having an impact on the management. The timing of the investment, when we look at it, it's -- they don't have any risks of incurring loss. So we are investing for the partnership on a long-term basis, and we would like to continue this stance. 
 Now this is an uncertain time and forecast of the operating income. Basically, sales or revenues are some of them -- some of the categories increased the sales and other declined. So it seems to me, there's a matter of adjustments. After the first quarter's results, looking at it, we just made adjustments. So this is a natural accumulation. So as our overall picture, it's not that we put a big message into it. We take risks and opportunities into consideration to come to this forecast. Thank you. 
Sadahiko Hayakawa: The time is limited, so we will take the last question. We apologize, but the next question will have to be the last question. And may I ask you to ask only one question in the interest of time. Mr. Ono of Morgan Stanley. 
Masahiro Ono: Ono of Morgan Stanley. You said one question. Now I believe that the media members also asked this question. And in the supplementary information on game, you talked about the monthly active user, 104 million, I think, is the number. In the fourth quarter, the figure was 109 million, and there was some decline. And Totoki-san explained that it's a seasonality factor, so you are not concerned. But now it's 104 million. How do you look at this 104 million? In the overall context, the monthly active user, MAU, Yoshida-san referred to 1.6 million. Would this situation impact what Mr. Yoshida said when he used the figure 1.6 million? 
Hiroki Totoki: Thank you. This will -- it's not a strong figure. 104 million, of course, it's not a strong number, but are we looking at as a declining trend? We don't think so. The first quarter -- and we are trying to analyze different elements, but there were no conspicuous trend that we could capture. Maybe this month, next month, we will have to continue to watch and do the analysis. At the risk of repetition, may I say that last year's, the stay-at-home demand was such a significant demand as a hindsight. So compared to that period last year as a trend, of course, compared to fiscal '19, there is an increase. So we would monitor the situation carefully, and we will deepen the engagement and enhance -- upgrade the platform. We will make such efforts. Therefore, for this coming -- or this fiscal year, we will take some actions to support this business. Thank you. 
Sadahiko Hayakawa: Thank you very much. The time has come to close this session. We would like to close the earnings announcement for Sony. Thank you very much for your participation.